Operator: Ladies and gentlemen, good morning and welcome to the Analyst Conference Call on the Fourth Quarter and Full Year 2023 Results of Ahold Delhaize. Please note that this call is being webcast and recorded. Please note that in today’s call, forward-looking statements may be made. All statements other than statements of historical facts may be forward-looking statements. Such statements may involve known and unknown risks and uncertainties that could cause actual results, performance or events to differ materially from those included in the statements. Such risks and uncertainties are discussed in the summary report fourth quarter and full year 2023 and also in Ahold Delhaize’s public filings and other disclosures. Ahold Delhaize disclosures are available on aholddelhaize.com. Forward-looking statements reflect the current views of Ahold Delhaize’s management and assumptions based on information currently available to Ahold Delhaize’s management. Forward-looking statements speak only as of the date they are made and Ahold Delhaize does not assume any obligation to update such statements except as required by law. The introduction will be followed by a Q&A session. Any views expressed by those asking questions are not necessarily the views of Ahold Delhaize. At this time, I would like to hand the call over to JP O’Meara, Senior Vice President, Head of Investor Relations. Please go ahead.
JP O’Meara : Yes. Thank you, operator, and good morning, everyone. I’m delighted to welcome you today to our Q4 2023 results conference call. On today’s call are Frans Muller, our President and CEO; and Jolanda Poots-Bijl, our CFO. After a brief presentation, we will open the call for questions. In case you haven’t seen it, the earnings release and the accompanying presentation slides can be accessed through the Investors section of our website aholddelhaize.com, which provides extra disclosures and details for your convenience. To ensure everyone has the opportunity to get their questions answered today, I ask that you initially limit yourself to 2 questions. If you have further questions, then feel free to re-enter the queue. To ensure ease of speaking, all growth rates mentioned in today’s prepared remarks will be at constant exchange rates unless otherwise stated. And with that, I now turn the call over to Frans.
Frans Muller: Thank you very much, JP, and good morning, everyone. I’m pleased to report a solid fourth quarter and an end to 2023. Taking a quick look at our scorecard. We achieved or exceeded all of our key goals for the year. Jolanda will go through these numbers in more detail. But first, let me share some of our operational highlights for certain context. Reflecting on the year, it clearly wasn’t an easy one not for societies worldwide nor for businesses. Our teams around the world had to adapt to dynamic and in many cases volatile market conditions. Through it all, we achieved a lot; delivering on our commitments and advancing key strategies for our long-term success. And for this, I would like to thank our over 400,000 strong dedicated and passionate associates for living our values and continuously feeding our winning culture. This culture starts first and foremost with serving our existing and growing customer base of over 63 million a week and with high inflation rates impacting the entire value chain, we have been steadfast and left no stone unturned to create value for them. We expanded our high quality own brand assortments, we optimized and personalized our loyalty systems and we ensured that every day the best of our value proposition was presented to our customers in a clear and seamless way at each touch point of our various omnichannel shopping experiences. To fund this, disciplined cost management has been as important as ever especially as global conflicts create volatility in our supply chains. Inflation in operating costs also played catch up during the year with the lofty levels of headline inflation numbers from 2022. Those of you who have followed us for a long time know that we are not afraid to roll up our sleeves in such climates and I firmly believe our track record in cost control is second to none as you can see on Slide #8. Our teams delivered a new record high in our long-standing Save for Our Customers program generating over €1.25 billion in cost savings or 29% above the prior year level. In addition to this, I’m also proud of our continued support of local communities. Our role as a company goes beyond just the prices on the shelf. It’s also our responsibility to help with broader societal challenges, provide access to healthy food and foster a nurturing environment for associates to thrive. To this end, our brands contributed more than €250 million in charitable cash product and food donations to local and regional food banks and nonprofit organizations throughout the year. Growing faster than the market is one of the long-term ambitions that keep us sharp and focused and 3 areas in particular do matter: vibrant, modern stores and shopping experiences; high quality, high value product assortments; and lastly, simplifying our go-to-market models to excel on the aspects that really make a difference for our customers. And let me give you an example of each of them. On Slide 11 for example at Food Lion, we continue to elevate the brand’s fleet of stores through our best-in-class omnichannel format. In 2023 alone, we remodeled more than 10% of the store fleet and this perpetual cycle of store elevation has in no small way contributed to the now 45 consecutive quarters of comparable store sales growth. At the GIANT Company on Page 12, we’re also moving at a fast pace with now more than 60% of the store fleet on the latest For Today’s Table floor design. And the brand is also punching above its weight in loyalty in digital with the GIANT Choice Rewards ranked in the Top 10 of the dunnhumby Retailer Preference Index. In Europe, one of the key drivers of returning volumes to growth for the first time in 10 quarters is the extensive rollout of our entry priced high quality own brand assortments. In the region we now offer more than 7,000 price favorites, price entry products at an enterprise level and our ambition is to further increase this with 20% in 2024. Albert Heijn is a great example of own brand execution, which has leveraged extensively to help customers save and get the most for their wallets over the last quarters of high inflation. And customers love our products with 16 own brand products named the Best Product of the Year in the Netherlands. An example of where we simplified our go-to-market model is Delhaize Belgium. Almost a year now since the team started its future plan, Delhaize has finalized agreements to 107 out of the 128 own operated stores. And the good news is we already see promising results from the over 40 stores that have already been converted transitioned with customer frequency and basket size trending upwards. This means market shares have stabilized and increasing market share won’t be far behind. This project took conviction and perseverance from the team in Belgium. But with the right plan for customers and associates, the organization will be in stronger shape to win in the market moving forward. In addition, we also took some meaningful decisions as part of our year-long Accelerate initiative, which we launched at the beginning of 2023 to create more agile organizations, further leverage our scale and empower our people to take action to drive efficiency. The operating model harmonization in the CSE region, the divestment of FreshDirect and a move to a more asset-light approach in online fulfillment in the U.S. are just some of the areas we worked on that will yield important savings, which we will reinvest in growth in 2024. Finally, let me spend a moment on health and sustainability. Our brands continue to implement projects to provide healthy affordable food and drive sustainable business practices like reducing food waste and energy consumption and promoting diversity and inclusion in the workplace. These topics remain key and align very closely with our group values. At the end of 2023, we launched our updated climate plan in which we refined decarbonization levers and sharpened the categories for our emission reduction targets. We will host a dedicated session on this and other topics at our upcoming Strategy Day in May and more on that later. But let me now hand over to Jolanda to share her remarks on the financials as well as on our key healthy and sustainability KPIs.
Jolanda Poots-Bijl : Thank you very much, Frans, and good morning to everyone. Looking at our financial performance, the strength of our international portfolio allowed us to deliver a consistent set of results. We are maintaining high performance in challenging market circumstances. On Slide 17 and 18, we present you the key underlying numbers for the quarter and the full year. To summarize for the quarter. Q4 net sales grew 1.9% to €23 billion. Net consumer online sales increased by 2.6% to €3.3 billion. Group underlying operating margin was 4.3%, a decrease of 10 basis points versus last year. Diluted earnings per share for the quarter were €0.73, up 2.5% at actual rates. For the full year, net sales grew 3.8% to €89 billion. Net consumer online sales increased 5.9% to €11.9 billion. Our underlying operating margin for 2023 was 4.1%. Full year diluted underlying earnings per share were €2.54, in line with the company’s original guidance of around prior year levels of €2.55. Our free cash flow was €2.4 billion, finishing at the higher end of our guidance. Looking into various line items in more detail starting with revenues. On Slide 19 you see comparable sales growth by region including and excluding weather, calendar and other effects. Q4 group comparable sales were 1.8%, which includes a negative impact of 0.3 percentage points from weather and calendar shift primarily related to the timing of New Year’s Eve. In the U.S., comparable sales ex gas declined 1% or 0.5 percentage excluding calendar shifts as inflation rates moderated and we continued to lap the end of emergency SNAP benefits program, which ended in Q1 of 2023. On its own, the reduction in SNAP benefits resulted in approximately a full percentage point headwind to sales. Against the backdrop of a decline in grocery market in the fourth quarter, especially Food Lion and Hannaford continued to excel with positive growth rates, both brands also showing double-digit growth in online sales. In Europe, comparable store sales were up 6.5% in Q4. This is a strong result and comes along with the first positive volume trends in over 2 years. Key to this milestone has been our brands’ relentless focus on rolling out local everyday low price programs as Frans already explained. We saw very strong growth in online grocery sales, which were up over 9% with accelerated growth at Albert Heijn. I think it’s fair to say Albert Heijn won the holiday season in the Netherlands finishing the year with over 37% market share, which is being supported by more than 950,000 Albert Heijn premium subscribers. In our CSE markets, we continue to see positive market share gains in most markets as the teams benefit from further collaboration and harmonization of products and processes. One specific CSE brand I’d like to call out is our Czech brand Albert, which had its eighth consecutive year of positive comparable sales growth. As you know, this region is important to us. With the acquisition of Profi on the horizon, we see the CSE region as a meaningful differentiator in terms of growth and a profit driver for our company. Finally, on Europe, a word on bol. Despite difficult market conditions for e-commerce and general merchandise, 2023 was a good year for bol. GMV or gross merchandise value increased 5% to €5.8 billion with good traction in multiple categories. We also saw strong double-digit growth in value-added services such as advertising and logistics, which grew almost 50% and 20% for the full year, respectively. In addition, due to the extensive cost savings work of the prior year, underlying EBITDA also improved growing from €125 million to €151 million. Moving on to group profitability as a whole. The group’s underlying margin was 4.3% in the fourth quarter representing a slight compression compared to a year ago. One-off adjustments in the U.S. partially offset declines in our European margin and lower insurance benefits at the Global Support Office. Underlying operating margin in the U.S. was 5.2%, up 0.4 percentage points primarily due to a favorable reserve release, one-off settlements and a modest margin mix benefit from the divestment of FreshDirect. This was partially offset by an increase in shrink, which continues to be a focus area of our brands. Our U.S. brands are deploying additional solutions in stores to counter this negative trend including a strong focus on ensuring the safety of our associates and customers. Excluding one-offs, U.S. margin would have been around 4.5%, which is comparable to the prior year margin also adjusted for one-offs. Underlying operating margin in Europe was 3.7%, down 0.3 percentage points. The impact on Q4 European margins from the Belgium transformation and energy was minimal. Investments in higher wages and in our value proposition were partially offset by a decrease in the noncash service charge for the Dutch employee pension plan consistent with the prior quarters. With lower discount rates in the Netherlands, the latter will be a headwind in 2024 of around €10 million per quarter. Given the various transformation initiatives that took place in ‘23, there was quite some difference in our results on an IFRS basis, which you can see on Slide 24 and 25. Let me give you some additional color on the moving part. Our group operating income for the quarter was €675 million representing an IFRS operating margin of 2.9% mainly impacted by €250 million loss on the divestment of FreshDirect and €60 million in restructuring and related cost pertaining to Belgium and other Accelerate initiatives. For the full year, our group operating income was €2.8 billion representing an IFRS operating margin of 3.2% mainly impacted by €266 million on impairment charges related to FreshDirect and Belgium store assets, €250 million losses on the divestment of FreshDirect and €189 million of restructuring and related charges related to Belgium and other Accelerate initiatives. On Slide 26, I’d like to give a bit more color on the overall impact of the divestment of FreshDirect on our operational results and our cash flow. For the full year, we absorbed €415 million in nonrecurring items on our operating income while we included €130 million in our cash flow as part of our cash from investing activities. As the majority of these elements are excluded from our free cash flow, the impact on 2023 for free cash flow is €43 million. And moving on to our free cash flow. Q4 free cash flow was €1 billion, which represents a decrease of €455 million compared to Q4 2022. This was mainly the result to changes in working capital as increased net investments. The majority of this higher working capital is timing related to the implementation of the netting processes during the SAP transition in the U.S. where the negative impact in Q3 2022 was reversed in Q4 2022. Looking at the full year, we realized a free cash flow of just over €2.5 billion, which is at the higher range of our most recent guidance. Good improvement in our working capital year-on-year. With this number, inflows from the Belgium tax receivable of €377 million was partly offset by our outflows of around €200 million from the operating cash flow effect of executing the Belgium Future Plan and other Accelerate initiatives such as the e-commerce fulfillment and last mile changes in the U.S., which we discussed last quarter. To complete the picture on Slide 29, you can see our net debt bridge year-on-year where you can see a slight decline mainly related to FX movements. With our strong balance sheet, I’m also pleased to announce our proposal to increase the dividend per share by 4.8% for 2023 to €1.10 per share. This is of course subject to approval at the AGM. We’ve also initiated the €1 billion share buyback in January as planned. Last, but certainly not least, let me provide some detail on our health and sustainability KPIs where we can also report improved performance in the 4 key areas of our health and sustainability strategy. Our brands continue to increase the percentage of own brand healthy sales reaching 54.8% in 2023. Furthermore, we reduced CO2 emissions in our own operations by 35% compared to our 2018 baseline. Our total tons of food waste per food sales was 37% lower than our 2016 baseline and we can report a 10% reduction in virgin own brand plastic packaging compared to 2021. We’re now already fully focused on 2024 and beyond. From a financial perspective for 2024, we expect a predominantly consistent performance year-over-year albeit with some different phasing across the quarters. As for example we lapped the impact of inflation rates, SNAP and the various impacts both positive and negative of the transformational initiatives in Europe and the U.S. of the prior year. Our group underlying margin is expected to be at least 4%. Earnings per share are expected to be around 2023 levels and free cash flow is expected to be around €2.3 billion. Our net capital expenditure guidance is around €2.2 billion and includes over €200 million of divestments, a large part related to the sale of 2 meat facilities to Cargill, which we announced last week. Our growth capital expenditure, therefore, will be roughly in line with or slightly below 2023 levels. In this environment of heavily inflated cost in materials and other building related costs, we believe it is also important to remain disciplined and focused on return on investment, recalculating and phasing differently if necessary. For our reported sales numbers in 2024, there are a few specific factors that you will need to reflect in your expectations this year. The divestment of FreshDirect will reduce the amount of 2024 reported net sales and online sales for the U.S. region by $600 million. Albert Heijn will stop selling tobacco in 2024 already having done so in its own operated supermarkets. This will have around 2 percentage point to 3 percentage point impact on reported and comparable store sales growth in Europe in 2024. On that note, I’m looking forward to seeing you all at our Strategy Day in May. And for now, let me hand back to Frans to give a little more flavor on how we see the coming year shaping up.
Frans Muller : Thank you very much, Jolanda. While we spend quality time together on our strategic initiatives at our Strategy Day in May, here are a few things you already can count on. A relentless focus on the customer, our price positioning and assortments and leveraging the strength of our great local brands; continuing to advance our own brand strategies, increasing penetration and category debt; further simplification of our organization to sustain growth investments; and as always, continuing to be laser focused on cost control and cash flow delivery. Innovation across the board including in AI, in online and in data and in digital will remain an important differentiator for our company. And this year we will complete the rollout of our proprietary PRISM platform to all U.S. brands. In Europe, we will also deliver an app convergence project, which has already started with Albert in the Czech Republic. In addition, we will continue to increase our e-commerce reach and service levels through more automation and partnerships. Infrastructure projects at our home shop centers in Tilburg and Zwolle in the Netherlands and new partnerships such as DoorDash in the U.S., which we announced last week, will provide additional delivery options, tap into additional customer journeys enhancing speed and convenience for customers. From an organization simplification perspective, you will see further steps taken in 2024 to ensure we continue the momentum and implementation of learnings from the Accelerate initiatives we completed last year. As one of those further steps for example, JJ Fleeman has implemented a new support organization structure, which will create the environment to reduce overlap and streamline activities in our U.S. support organizations. And finally, in terms of prioritization investments and capital expenditure, we will continue to follow our strategy of building a vibrant and modern network of stores and experience for all our great local brands. This also will include a more deliberate and holistic reset of Stop & Shop to restore competitiveness for the remaining 50% of the network which we still need to transform. These are just a few examples to reiterate our excitement and confidence in the growth opportunities that are ahead of us. And I’m looking forward to sharing more live and in person at our Strategy Day on May 22 and May 23 our ideas to do that in the Netherlands. And with that, I would like to thank you for continued interest in our company. And operator, please open the lines for questions.
Operator: [Operator Instructions] And your first question comes from the line of Robert Jan Vos from ABN AMRO ODDO BHF.
Robert Jan Vos: I have a couple of questions. You talked about the impact from tobacco sales decision in and also FreshDirect the sales impact. Can you maybe also elaborate a little bit on the EBIT impact from those 2 decisions? Secondly, your EPS guidance, you talk about current exchange rates. Is it fair to assume that this guidance currently assumes a relatively neutral impact from currencies in 2024? And I squeeze in one small additional question. Where is the paragraph on the Global Support Office costs? I seem to have missed it in the press release. Is there a reason for that?
Jolanda Poots-Bijl: Thank you for that question. Jolanda here. So the first question you asked was about the tobacco and FreshDirect impact that, as we stated, have quite some impact on our top line. The FreshDirect impact you could say the positive impact because FreshDirect was loss making, as we shared before, will be used in the U.S. to be invested in our CVP. So it’s not an upside that you will see back in a margin uplift, but it will be used to maintain our margins. Maybe the next question on guidance on the spot on the FX impact that we use. I’ll take that one of course as well. Our guidance is based on an FX rate of 1.08, which is the current spot rate.
Robert Jan Vos: Okay. Maybe coming back on the questions on tobacco. Can you say anything on the EBIT impact from that sales loss? Your guidance implies €700 million to €1 billion in sales. What’s the EBIT impact from that?
Frans Muller: For tobacco, we indicated a sales effect of 2.3% over European sales. That’s what we indicated. And the tobacco EBIT effect will be rather neutral. We have of course also cost to sell tobacco, it comes at relatively low margins so it will be EBIT neutral.
JP O’Meara: Robert, what was the third question? You said you missed something in the report.
Robert Jan Vos: Yes, I didn’t see the paragraph on Global Support Office.
JP O’Meara: It’s included in the segmental reporting now. I guess you are looking for the insurance impact. It was €1 million negative in the quarter.
Operator: And your next question comes from the line of Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Maybe a couple of questions as well. First one, I think the group margin definitely seems very assuring to investors today, but if I could just dig in a little bit, please. You’ve had some provision reversals and GSO benefit in 2023. Given you’re still talking to at least 4% margin, to me it seems like you’re signaling underlying better operating margin trends in both operations in the U.S. and in Europe. Can you please maybe talk through your confidence by segment? How do you see underlying margins potentially improving in a relatively challenging year? That’s the first one. Second one, Frans, you referred to a reset in Stop & Shop. Can you talk through a little bit? I know we’ll have to come to the Strategy Day on the 22nd and 23rd to learn more. But any early thought? Is this thinking already incorporated in your guidance or that reset is to start later in the year?
Frans Muller: Sreedhar, it was not so easy to understand or to hear you clearly, but I’ll try my best. There were 2 things, a little bit more color on the margin regions and segments and the other thing was the Stop & Shop May session and the effect in our guidance. That’s how I understood it. On the margins, I think I would agree with you that a full year margin of 4.1% first of all is exactly on the guidance. But secondly, hopefully also give some confidence to our investor community and also the way we ended our Q4 last year. So what we will see, Sreedhar. If you look at the 3.3% margin for Europe for the full year, we will see a further recovery of the European margin on a full year base. That’s what we said earlier already and I think if you look at the trend line, you see that happening. We always said that Europe has been already historically at 4%-plus margin. So we will get there and most likely with some recovery in Belgium, we might get there closer to the 2025 year. That is the confidence we have there and there’s all good reason to assume that. In the U.S. we have a strong margin too for the full year of 4.7% and we give a guidance for the full year 2024 of at least 4%, but then of course also including the GSO cost. And Jolanda I think mentioned already with lowering interest rates, we might see some headwinds on the insurance and the pension chapters. So at least 4% for the total group. Recovering margins in Europe, the right trend is there. The project in Belgium, like Jolanda already mentioned, goes in the right direction. Out of 128 stores already contracted, 44 stores already converted. During 2024 that will be finished that project and we are very confident about that. Then on Stop & Shop and it sounded like you are forced to come to the Netherlands, but you’re invited to the Netherlands with a lot of Dutch hospitality, Sreedhar. So that is the Netherlands. And we are on a trajectory to get Stop & Shop back to its old strength and we’re just not there yet and that’s why we talk about an extra boost and extra reset, which we’re going to talk with you about in March. We continue the work we do. We continue to work to further update our store fleet. We work on loyalty programs and the customer experience, but we’re just not satisfied yet where we are. And we are working further on that Stop & Shop plan and that JJ will present in the Netherlands in May. The developments or the improvements we planned for Stop & Shop in 2024 are included in the guidance. I think those were answers to your question.
Sreedhar Mahamkali: Yes, yes. Just in terms of the reset always means at least in our minds that you are putting in more enterprise quality and there is a little bit of a margin sacrifice. Is that how we should see it or are you just talking about merchandising quality? Other things getting better and giving you a boost in sales? And if that is the case, is that in the guidance? The cost of reset, is that in your guidance already?
Frans Muller: Yes. What we’re going to do in 2024 is in the guidance. And we are a top line driven company and I think we said in a few quarters before in the last quarters that we are not yet happy with the market share development of Stop & Shop and we have to bring that back where it should be. And that will be the main attention of our May conversation in the Netherlands. And there are a few things we’re going to share with you how we’re going to do that and that’s I think a good story to hear and let’s share that in May.
Sreedhar Mahamkali: And just to be clear, I am looking forward to coming.
Operator: And your next question comes from the line of Izabel Dobreva from Morgan Stanley.
Izabel Dobreva: I had a couple of questions. So the first one is coming back to the point around Stop & Shop. So the way I’ve understood your commentary so far is that you’ve used the FreshDirect margin upside to fund these investments. Can you give us a little bit more color? Because I guess most people have in mind a relatively small benefit from FreshDirect, something not more than 30 basis points I guess is what most investors have in mind. So my question is, is this really enough to reset the price gap of Stop & Shop sufficiently to the point where it stops losing market share? Maybe if you could give us an idea of where the price gap is now, that could be helpful to give us confidence that that margin upside from FreshDirect will be sufficient to reset the price gap? And then secondly, again on the topic of Stop & Shop. We haven’t heard about the multicultural remodels in a while and I’m wondering is that still the strategy for this banner? And then more broadly, how do you think about the CapEx piece of the reset with Stop & Shop? Is there scope that we might see further divestments or some cutting back in the footprint in order to remove some of those underperforming stores and use that cash to increase CapEx to the rest of the Stop & Shop network?
Frans Muller: Yes. So those are a lot of questions in one go, 4 the price of 1, you sound like a retailer. But we will be very complete in May and I would like to make sure that we have that conversation then and all the full details. But I think all the elements, the dimensions you mentioned will be elements of that more holistic reset of Stop & Shop. We’ll continue with a more cost efficient model to modernize our fleet. We’re working on the total customer experience and execution quality. We have a little bit more tailwind with Stop & Shop now because the supply chain, which hindered us quite a bit and hindered Stop & Shop overproportionally coming out of the C&S contracts and the self-distribution in the U.S. will benefit Stop & Shop also. That’s why also Stop & Shop had a pretty good year-end festive season with better availability of product. But there’s more to do there and that’s what JJ is going to share with us. I also saw some reports on Stop & Shop. I think the share of Stop & Shop in the total U.S. business has been overestimated. It’s roughly 25% of sales share. And we come back to all these kind of dimensions you just mentioned in May and we are confident that we have a stronger and good plan to boost the brand more.
Operator: And your next question comes from the line of William Woods from Bernstein.
William Woods : The first one is just on your GSO and insurance line. If interest rates go down, how much of that is baked into your guidance today? And then the second one is we’ve talked a lot about Stop & Shop, but obviously I think Food Lion is still doing well, but maybe it’s not doing as well as it historically has. Do you also have plans to invest heavily to kind of supercharge the Food Lion growth?
Jolanda Poots-Bijl: Thank you for your questions. The first one on insurance. In our guidance we assumed a €10 million negative impact on insurance related cost going forward in 2024.
Frans Muller: I think the remarks on Stop & Shop were for the moment rather complete. You talked about Food Lion. Food Lion is doing very, very well both in sales development, market share gain, but also the e-commerce opportunity. Food Lion came a little bit later into the game on e-commerce. We are now deploying the PRISM software and application for Food Lion, which means that the pick from store is getting much easier. And Food Lion has built up quite fast now and double-digit growth in e-commerce at the moment had built up more penetration, but still at the low end. So Food Lion is quite an opportunity, which is happily surprising us with the type of customers they have to also grow further the e-commerce business. So we have a couple of brands who are already in positive volume territory in the U.S., Food Lion is one of them and Food Lion will have a high end double-digit e-commerce growth also planned for 2024. Brand is doing very well. On the remodeling, I mentioned in my call here that we’ve remodeled in 2023 10% of our total fleet and we will go to in total roughly 15% of our total fleet to be remodeled. And if you have some time left, then visit the Raleigh area which is our biggest DNA for Food Lion where you will see quite a lot of positive change.
William Woods : Got you. And just to follow up on that. So you don’t think that over the last kind of 4 years, the growth there has tailed off effectively?
Frans Muller: No. You would almost think this with the quarters of growth, but the brand is doing very well. And I think those continuous evolving remodelings and investing not only in new racks; but also new propositions on deli, on loyalty, on pricing, on checkout, on innovation, on fresh, on private label. There are about 10, 15 things where Food Lion is working on very closely connected with high shares. As you know, market shares in the DNAs where they operate. So no, I don’t think at all that the growth and the potential of Food Lion will taper off, but we also invest there. We always invest 15% remodeling of the total fleet. That’s a big number with the store base they have. So no, it’s going strong and gaining share in the markets where they operate.
Operator: And your next question comes from the line of Nick Coulter from Citi.
Nick Coulter: I won’t ask about Stop & Shop or the R words. But can I ask a couple? Firstly, on the opportunity to expand the fleet in the U.S., whether that’s individual stores or bolt-ons to kind of how you see the environment to do so? And then secondly on CapEx, is it possible to get a sense for the gross CapEx in 2024, please, just to get a sense also for the underlying free cash flow?
Frans Muller: Nick, I might sound like a broken record, which is not my intention. But we have a strong financial base and strong balance sheet and we would like to grow more into the U.S. In-market growth of course is the most profitable and the most intuitive. So yes, where we can build more stores or where we have bolt-on opportunities, we’ll look into this. We have a very good team there who knows exactly the opportunities. I expect also in 2024 more of that matter and we also will -- but I don’t want to announce all the good news already now instead of in May. We also will grow our store footprint of Food Lion more organically so building new stores ourselves and there’s a good opportunity there. And I think the market is not easy as we know and that is also an opportunity for more consolidation and we would like to be an active part of that.
Nick Coulter: So will we get an idea of the pipeline or aspiration in May?
Frans Muller: You will get for sure and you will get that pipeline idea not only for Food Lion.
Jolanda Poots-Bijl: On your second question, the net CapEx guidance that we gave was €2.2 billion and we expect around €250 million of divestments also related to the shift in divestments from ‘23 to ‘24 of course. So gross CapEx will be in line with ‘23 around €2.4 billion.
Frans Muller: That’s divestment income.
Jolanda Poots-Bijl: Yes. So that’s a bit bigger in this year now versus last year.
Frans Muller: So the gross number, which you really invest in the business and that’s not only stores, it’s also digital, also automation and these kind of things will be roughly at the same level as 2023.
Jolanda Poots-Bijl: Yes, roughly stable.
Operator: And your next question comes from the line of Fernand de Boer from Degroof Petercam.
Fernand de Boer: Fernand de Boer from Degroof Petercam. Most questions have been answered, but I have 2 left. One is on the third-party online sales in Europe that seem to be flat, slightly negative even. So could you elaborate on that, what happened there? And the second one is coming back on the FreshDirect or on the cash flow. If I understood correctly, to get rid of FreshDirect, you had to give a kind of cash payment to the new owners. If I look at that and that is not included in your free cash flow figure of, let’s say, slightly more than €2.4 billion. And then maybe a follow-up on that one. I’m still a little bit amazed on this whole FreshDirect deal because if I look at the account of 2021, you only see a net asset value of I believe €250 million. You took quite some impairments there. You now have a huge loss on it of €260 million. So could you share a little bit more of what exactly happened and what does it mean for kind of risk going forward in terms of M&A?
Frans Muller: Jolanda will take care of your question #2. Jointly we will take care of question #3. Question #1 was bol or the online market partners, which were flat in growth. That is correct. The whole market is softer. When we talk about our bol platform, which is more a platform of discretionary commodities and which is softer in Europe overall. What I can say is that bol grew 5.5%. Bol grew market share and we are very happy with that development. But the market overall is just softer. 60% roughly of the GMV of bol is through the platform partners. For us, it’s extremely important to serve them well, to have the diversity of partners there, to be attractive to them, to do the best way on logistics through bol, advertising though bol, e-commerce through bol. Those are the services we offer to the partners to make it as easy as possible and be also a part of the bol brand and the bol promise. So a very solid base of 50,000 partners on the platform, 60% of sales, but growing slower than we hoped for, but it has to do with the market. The whole market is soft and we gained market share in 2023 again both in the Netherlands and in Flanders in Belgium. Jolanda?
Jolanda Poots-Bijl: Yes. Thank you for your question. Indeed of the €250 million loss on divestment that we shared with you on FreshDirect, €130 million is the cash portion and part of our investing in the FreshDirect sale. And bear in mind that it also had a social component for us because FreshDirect employs around 3,000 FTE and we wanted to make sure that their future is safeguarded in a way as well. So it did include €130 million of investing.
Frans Muller: So on your question, Fernand, I understand that question. I also respect the background. With such a divestment loss, what does it mean? What is our learning here and what does it mean for our M&A going forward? We bought FreshDirect in a market which was very different than we see at this moment. Where the market was in those days a market which was more a next-day delivery market. That market shifted tremendously in more same-day instant, but also platform partners like Instacart and DoorDash, et cetera. And when you see that market changing and especially in the New York area seeing changing that very fast, then you have to ask yourself the question, what are we going to do here? And we decided to update our e-commerce fulfillment models in the U.S. We also took the decision and executed in 2023 to close down our Jersey City next day e-commerce warehouse, our Baltimore, Maryland next day e-commerce warehouse for GIANT Food. Those are all to be seen in the same type of arena of a fast changing market, a market going into a very different direction. An opportunity sounds strange in this respect to go more to an asset-light model for our e-commerce and set our stores more where 1,400 stores have already in click-and-collect facility, which we built in good foresight in the last couple of years. So yes, I agree big loss, painful for that matter. But I think it’s better to take your loss at the right time and move to a new strategic frame where we are more geared towards the future. And I just got here a small correction from JP. There’s not 1,400 stores equipped for click-and-collect, but 1,600 stores out of the 2,000. So learnings here, Fernand, and in hindsight always lot of learnings. But the models changed much faster than we anticipated and we said yes, we have to take action here not only for FreshDirect, but also for the other next-day e-commerce models we have for fulfillment and that’s why you see that cost in the model. And what Jolanda already mentioned earlier, we also took another big call in 2023, which is the affiliation of Delhaize also for strategic reasons. You see this also in our net income statement, what’s there, the sacrifices. Both projects are I think for a good strategic reason and should help us in the future to fund our CPPs and to fund our business.
Jolanda Poots-Bijl: Maybe one small add and you also asked about the free cash flow. The free cash flow is excluding M&A. So that’s why the impact of the €130 million is on the cash flow, but not on the free cash flow.
Operator: And your next question comes from the line of Andrew Gwynn from BNP Paribas.
Andrew Gwynn: Continuing a bit on I suppose of the greatest hits, but Belgium. The margin recovery for the European segment seems to be a little bit sort of up and down. So you’re clearly indicating you have 4% you’re happy with, but Belgium is a bit of big caveat there. So just help us understand the market, how that transition to the franchise model has developed? And the second question, the trading for the U.S. obviously slightly negative this quarter. I appreciate obviously there’s the headwind from the SNAP benefits. There’s a bit of noise in Q1 and Q2 from Easter, but how should we think about the development of U.S. trading? I appreciate you’re not going to give us a very precise guidance, but the development quarterly trading in U.S. Just 1 more point of clarification. Stop & Shop roughly 25% of sales, I presume you mean of U.S. sales not group sales, but just to clarify that.
Frans Muller: Yes. The last one, indeed U.S. sales there. On Belgium, we had in the past a business which was 50% in sales coming from company operated stores and 50% already coming from affiliation of franchisees mainly in the smaller formats; the proxy, the to-go stores and these kind of things. And we took that decision to also affiliate 128 company operated stores. The process is doing very well so far. The process is on plan; 107 stores contracted, 44 stores converted. And in the running of 2024, we expect to close the project and to do this in a successful way and as I said before, we are on plan. This brings more simplicity to our company because we then have 1 business model to take care of and to service. And the other thing is it will also bring our Belgium business back to where it belongs. And also for Belgium, that is in the 4%-plus margin and that is not this year to be very clear, but we will also get there to a 4% margin in Belgium too. And that’s why also I feel confident with our total setting in CSE and the Benelux that that 4%-plus margin for Europe is very realistic and we are confident about that.
Jolanda Poots-Bijl: Then I’ll take your question on SNAP. Indeed the impact in Q4 was 4 percentage points on sales so it’s quite substantial. We expect that headwind to fade out over Q1 and slowly into Q2. So we’ll have to be with that for a little bit longer.
Frans Muller: And the other thing, just to give you a little bit more color, is that we saw a food inflation in U.S. in the fourth quarter of 1.3%. That is the CPI Northeast food from home and that went down in January to 1.1% to give you an idea. So the inflation tapered down quite a bit and quite fast and faster than in Europe. So we have to deal with that. And on top of that, what Jolanda just mentioned, also a SNAP effect which is there. So the good news is that we see in a couple of brands in the U.S. volume growth coming back. The good news is also that we see more support from our CPG partners to build volume growth, which is of course very important for all of us. And at the same time like in Europe, we have to balance that lower inflation top line with a higher cost in our models over time and that’s exactly what we are doing now with our cost saving program to balance that out. And that’s why we gave you a 4% UOP margin for the year and also a very strong cost saving program of more than €1 billion as I mentioned in my own call and that’s the measures we take. And you’ll hear more of this in May and that is May not only for 2024 second half, but also for the years beyond.
JP O’Meara: So before we take our last question, operator, just to remind everyone. You’ve heard enough today about the May Investor Day. You should have received by now in your inbox the RSVP for the event. So for our planning, if you could over the next days please confirm if you plan to come to join us here in the Netherlands. The more, the merrier. And more details will follow post registration. You should have received an invite and if you haven’t, please e-mail the Investor Relations team at investorrelations@aholddelhaize.com.
Frans Muller: I think we have a dinner event for later arrivals from the various directions and then a full next day, right? So on both events, of course you are welcome. But also you’re more than welcome on the second day, the full day which is the real day of the presentations. But it will be nice to see you also all for dinner when you can make the time.
A - JP O’Meara:
Operator: The final question for today comes from the line of Emmanuelle Vigneron from HSBC.
Emmanuelle Vigneron: I would like to know if you are expecting some food deflation in the U.S. going into 2024 and if you are expecting positive volumes as of Q1? Secondly, how do you -- what do you expect in terms of gross margin for 2024?
Frans Muller: Gross margins 2024, we don’t report on that. On volume growth and inflation/deflation, it’s very specific by category and I don’t want to avoid your question. But there’s a lot of things happening in commodities and pricing of commodities. So there is a shortage of tomatoes because there is a drought in Idaho on the potato harvest so that might be a different effect. But we see for example prices in dairy coming down and some of the prices in animal proteins coming down. So we see in a number of categories positive volumes coming in also supported by the CPG companies. We see in some categories still positive inflation and still negative inflation. The 1.1% of January will have been a function of that distribution. And I think it’s a little bit too early now to say something about volume growth in the U.S. for 2024, but there’s a bigger chance further in the year to get there. For the first quarter. I don’t want to make a statement there.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.